Operator: Welcome, everyone. The Heineken Full Year 2025 Results Call will begin shortly. [Operator Instructions]
Raoul-Tristan Van Strien: Good morning and good afternoon, everyone, from Amsterdam. Thank you for joining us for today's live webcast on our 2025 full year results. Your host will be our Chief Executive Officer, Dolf van den Brink; and our Chief Financial Officer, Harold van den Broek. Following the presentation, we will be happy to take all your questions. The presentation includes expectations based on management's current views and involve known and unknown risks and uncertainties, and it is possible that the actual results may differ materially. For more information, please refer to the disclaimer on this first page of the presentation. I will now turn over the call to Dolf van den Brink.
Rudolf Gijsbert van den Brink: Thank you, Tristan, and good morning afternoon, everybody. Now after 6 years and with some understandable mixed emotions, today is my final full year results presentation as CEO. It is not a farewell though, I am and will be fully focused and committed to the business through the end of May. And as you all know, I love this great company, and I will miss it dearly. My priority for the coming months is to leave Heineken in the strongest possible position with momentum, clarity and ambition. It is a natural moment to reflect on how far we have traveled since launching EverGreen in 2020 in the midst of COVID and to look ahead as we move into the disciplined execution of EverGreen 2030, our new 5-year growth strategy. Over the last 6 years, we launched a fundamental transformation of the company, delivered EverGreen 25 and navigated a demanding external environment. We have made meaningful progress in future proofing Heineken, growing the Heineken brand by more than 50%, consolidating our global leadership in 0.0, strengthening our advantaged footprint with significant deals in India, Southern Africa and Central America, while saving over EUR 3.5 billion in cost and digitizing the business, I am very proud of what we, as a team, have achieved, and there's more to do. The next chapter is our sharpened EverGreen 2030 strategy, which we introduced at the Capital Markets event at Seville. We now have a sharpened focus on 3 strategic priorities, and the task ahead is accelerating disciplined execution. Growth. It is the foundation of our business and remains our #1 priority. Productivity, which fuels reinvestment and healthy profit flow-through. Future fitting Heineken, enabled by our digital backbone and evolving operating model. Harold will explain how we are accelerating the disciplined execution of these priorities over the next few years. With this clarity, we aim to deliver superior and balanced growth and attractive shareholder returns while future-proofing Heineken. We track this through the Green Diamond, which we have now strengthened with ROIC as our capital efficiency KPI. Let's take a closer look at the key highlights of 2025. First, we delivered a well-balanced performance in challenging market conditions. In our growth pillar, we grew revenue through quality volume. We gained or held market share in more than 60% of our markets and in about 80% of our priority growth markets, which is even more important. In our productivity pillar, strong over-delivery of growth savings supported our margin expansion. On capital efficiency, we generated another year of solid cash flow and improved ROIC. And looking ahead, we expect operating profit to grow between 2% and 6% in '26. This is before the additional profit and earnings accretion from the FIFCO acquisition we completed last month. So let's take a closer look at our financial highlights. Total volume declined by 1.2%, reflecting softer markets in the Americas and Europe, partly offset by consolidated volume and license volume growth in APAC and resilience in Africa and Middle East. Within that, the momentum behind the Heineken brand continued to grow 2.7%. Net revenue increased 1.6%, and net revenue per hectoliter grew 3.8%, driven by disciplined pricing and positive mix. Operating profit grew 4.4% with a 41 basis point margin expansion and net profit grew faster at 4.9%. Diluted EPS (beia) came in at EUR 4.78 million, and we are proposing a total dividend of EUR 1.90 per share, a 2% absolute increase, indicating a payout to 39% of net profit. We're also expanding our payout range for future years to be 30% to 50%. Harold will cover this in more detail later. Although our volume declined in the year, and it's not yet where we wanted to be, the quality remained high. To better reflect our evolving asset lines approach in China, Latin America and Africa, Middle East, we will going forward report total volume, combining consolidated volume, which declined 2% and license volume, which grew almost 18%. Our mainstream brands outperformed the total portfolio declining only slightly and local power brands delivered solid growth for several major markets, including Cruzcampo in the U.K., Harar in Ethiopia, Tecate Original in Mexico and Kingfisher in India. Heineken 0.0 grew slightly. Our global brands grew almost 2% led by Heineken, up nearly 3%. The broader premium portfolio also performed well, supported by strong local brands such as Kingfisher Ultra in India, Bernini in South Africa and Legend Stout in Nigeria. This high-quality volume supported 2% net revenue growth with positive price/mix across all regions. Our productivity programs ensured solid revenue to profit conversion contributing to operating profit growth of 4.4%, in line with our guidance. Let me turn to the Heineken brand, which continues to lead our portfolio. Heineken delivered another year of growth in 2025, increasing by almost 3%, with 27 markets growing at double-digit rates. Heineken continues to stand out for its creativity in both idea and execution. At a time when people seek more real-world connection, Heineken champions socializing in a way that's authentic to who we are, supported by our global partnership with Formula 1 and Men's and Women's UEFA Champions League. Heineken 0.0 grew slightly. Inventory adjustments in Brazil, its largest markets, partly offset good growth in Spain and the United States, and it maintained its position as the world's largest alcohol-free beer brand. It is Heineken Silver that truly drove the growth for the brand. Silver grew by almost 30%, led by Vietnam in China. As you can see on the chart, Silver now represents about 15% of the total Heineken volume close to 9 million hectoliters. It can now be considered one of the most successful innovations in the history of the Heineken company. As part of the growth pillar in our sharpened EverGreen 2030 strategy, we're expanding our global brands. We are applying the principles of the centrally governed Heineken brand model across the broader global brand portfolio, strengthening consistency and discipline in execution. Across the global brand portfolio, we delivered 1.9% total volume growth in 2025, which shows solid progress. We have already spoken about Heineken. Amstel, our shadow premium brand connects friends around the world with a distinct social character. Amstel delivered another strong year across all 4 regions, with continued momentum in Brazil, a doubling of volume in China, revitalizing launch in Romania and a double-digit growth in South Africa. Birra Moretti continued to unlock food pairing occasions across Europe, supported by good performances in Switzerland and in France. Tiger remains a cornerstone of our success in Myanmar, while Tiger Crystal, a more refreshing sessionable member of the family, delivered strong results and contributed to the brand's revitalization in Vietnam. Desperados reinforced its relevance in markets with its bold flavors and Latin-inspired positioning resonates strongly with GenZ consumers, especially in Nigeria and in Spain. Productivity is our second strategic priority, and it's vital to support our growth agenda. This year, we delivered over EUR 500 million in gross savings, with increased flow-through to profits seen in our 41 basis point margin expansion. Our focus to boost cash led to a cash conversion of 87% after posting 103% last year, allowing us to deliver EUR 2.6 billion of free operating cash flow. Harold will expand on this and also how we will accelerate the EverGreen 2030 productivity agenda. When we look at our third strategic priority, future proofing our business, brew a better world remains our framework for delivering our environmental, social responsibility ambitions. On responsible consumption, we continue to lead the category by ensuring 0 alcohol options are widely available and easy to choose. In '25, our operating companies invested 26% of Heineken brand media to promote this message, reaching 1.4 billion consumers. On carbon, we continued progressing towards our 2030 net zero ambition for Scope 1 and 2, reducing emissions by 38% over the last 3 years. On water, we improved efficiency across all breweries to 2.9 liters per liter of beer. On the social pillar, we continue building a culture belonging by equipping leaders and colleagues across the company. In '25, women held 31% of senior management roles. With that, let me move to the regions. Starting with Africa, Middle East, where we delivered strong revenue growth, substantial profit improvement and overall market share gains. Net revenue grew 16%, with stable volume and strong price/mix reflecting earlier pricing actions as inflation eased, operating profits increased 60% supported by the transformed cost base of the past 2 years and a strong top line growth. Notably, in euros, operating profit grew more than 30%. In Nigeria, last year's cost base and capital structure adjustments, combined with continued discipline resulted in strong financial performance. Despite the soft markets, Nigerian Breweries gained significant share across lager, stout, beyond beer and nonalcoholic malts. Premium brands, Heineken, Desperados and Legend Stout all delivered double-digit growth. At Heineken Beverages in Southern Africa, commercial execution strengthened through the year. Our beer portfolio grew with Amstel delivering particularly strong results in South Africa. Bernini, our wine-based spritzer continued to grow and expand its consumer base. I would also like to highlight Ethiopia. The business improved steadily as the economy stabilized following the currency devaluation. We reinforced our market leadership and now secured the #1 position in the North too supported by continued momentum from Bedele and Harar. Turning to the Americas. Our business showed resilience. Markets softened as the year progressed, requiring agility while keeping strategic investments on track. Even in this environment, we gained overall share in the region. Net revenue declined 1% and beer volume was down 3%, while price/mix recovered strongly in the second half, up 2%. Operating profit declined 2%, decycling last year's significant step-up. In Mexico, despite macroeconomic and geopolitical uncertainties, the beer category remains resilient. Our system strength, supported by the Six store network and effective revenue management delivered solid financial results. Growth was broad-based. Tecate Original, Indio, Carta Blanca performed steadily, and Miller High Life surpassed the 1 million hectoliter mark in premium. In Brazil, after rebalancing and reducing excess inventory in the first half, the market softened in the second half. Based on sell-out data, we captured significant market share. Investment increased again in '25, including the opening of the new 5 million hectoliter Passos brewery. Amstel maintained strong momentum, supported by our CONMEBOL Libertadores partnership and the success of Amstel Ultra. In premium, Heineken gained share and Eisenbahn delivered double-digit growth. The United States remains challenging, further impacted by tariffs introduced in the first half. We continue to work on strengthening our portfolio, including the return of The Most Interesting Man for Dos Equis last month. Heineken 0.0 remains a highlight, delivering its seventh consecutive year of depletion growth. Moving on to APAC, where we delivered growth across all metrics and gained overall market share. Total volume increased 4% with consolidated beer volume slightly up and license volume up 27%. Net revenue grew 4%, supported by strong price/mix of almost 5%. Operating profit grew 5%, driven by strong performances in Vietnam, India and Myanmar. In Vietnam, volume grew high single digits as the market returned to positive momentum, a strengthened route to consumer and effective portfolio expansion enabled outperformance in both on and off-premise channels, accelerating our leadership position. Heineken grew in the high 30s, led behind Heineken Silver, while Larue Smooth continued expanding its footprint. In India, volume grew mid-single digits ahead of the overall market. As the country's largest brewer, we continued shaping the category, expanding our reach and transforming our sales model. Kingfisher maintained its growth trajectory, supported by cricket sponsorships, while the premium portfolio grew strongly led by Kingfisher Ultra, Ultra Max, Heineken Silver and our latest innovation, Amstel Grande. In China, Heineken Original and Silver delivered another year of double-digit growth supported by strong execution and high-impact sponsorship such as Masters Tennis and the Shanghai Formula 1. Amstel also doubled volume through distribution gains and excellent in-market execution. With the increasing contribution of royalties and share of associate profits, China became a top 3 market for the group in delivering net profit in 2025. Turning to Europe. Our performance was mixed in a challenging environment. Overall market share contracted slightly due to retailer disruptions, although we gained share in the on-premise channel. Net revenue in total volume each declined 3% with price/mix just above 1%, supported by pricing and a stronger premium portfolio. Operating profit declined almost 5% as volume deleverage and inflation more than offset the strong growth savings, including continued progress on supply chain rationalization, brewery closures and the refinement of our intermarket sourcing model. In the United Kingdom, our broad portfolio, innovation pipeline and continued investment in the Star Pubs estate supported solid financial performance. Cruzcampo continued its exceptional trajectory, now in its third year. Murphy's Stout outperformed the growing stout categories through distribution gains and expanded draught presence. In cider, premiumization continued with strong growth from Inch's and Old Mout. We also received top honors in the Advantage Survey, where customers rated us the #1 supplier across all FMCG companies in both on-trade and the grocers in the off-trade. In Western Europe, extended negotiations with off-premise buying groups weighed on performance. These discussions focused on protecting long-term sustainable category development were fully resolved in the second half, with distribution and shelf space recovering as the year progressed. Despite the disruptions, we gained on-premise share and continue to see strong contributions from our premium portfolio including Gallia, Texels and STELZ. Our global brands also performed well in selected markets, including Heineken in Italy, Birra Moretti in Switzerland, Amstel in Romania and Desperados in Spain. And let me now turn to our newest operating company. On January 30, we completed the acquisition of FIFCO after receiving all regulatory approvals. This transaction significantly strengthens our presence in Central America, and advances EverGreen 2030 by bringing together a portfolio of high-quality assets that enhances our long-term growth platform. It deepens our advantaged geographical footprint in markets supported by strong macroeconomic fundamentals and favorable demographic trends. Through this acquisition, we gained full control of Costa Rica's leading beverage company, including our common brands such as Imperial, a well-established PepsiCo franchise and attractive adjacent businesses in wine, spirits and in proximity retail. We also assumed full ownership of HEINEKEN Panama, a consistent strong performer that has repeatedly outpaced market growth. In addition, the transaction provides an equal partnership in Nicaragua's leading brewer, Compa��a Cervecera de Nicaragua, expands our access to a scalable food and beverage platform in Guatemala and adds fast-growing beyond beer brands in Mexico. The acquisition is expected to be value accretive enhancing our operating profit margin and earnings per share, while strengthening our strategic position across a dynamic, high-growth region. On day 1, we welcomed our new colleagues to the Heineken family and began the integration process, which is expected to complete in 2026. We have appointed a strong integration team to ensure business continuity while driving growth. Harold will take you through the financials of FIFCO, which will be accretive to earnings in '26. And with that, over to Harold to discuss the financials.
Harold Broek: Thank you, Dolf, and good morning all. I'm pleased to take you through the financial highlights of our full year 2025 results and the outlook for 2026. And starting with our top line performance on Slide 17. We posted an organic growth of EUR 0.5 billion or 1.6%, a 2.1% volume decline was more than offset by a positive price/mix of 4.1%. Pricing contributed 2.8% and mix added another 1.3%, a result of continued premiumization and strong execution behind our global and local power brands. Pricing was more pronounced in Africa, Middle East, covering for local input cost inflation and currency devaluation, while in Europe and Americas, our revenue per hectoliter growth was very moderate. Currency translation dampened revenue by almost EUR 1.5 billion, reflecting the strengthening of the euro against some of our key currencies. The minor consolidation effect of minus EUR 84 million relates to our exit of Sierra Leone and a brewery sale in Eastern Congo. Turning to operating profit. where we delivered EUR 4.4 billion of operating profit (beia) growing 4.4% organically and resulting in an operating profit margin (beia) of 15.2%, up 41 basis points organically versus last year. The EUR 467 million of organic net revenue (beia) growth on the previous page translated to EUR 198 million organic operating profit growth, a conversion rate of 42%. With negative volume leverage, moderate pricing and continued investments in brand and digitalization, gross savings from our productivity programs were a critical driver. Variable cost per hectoliter increased by low single digits, with meaningful differences across regions, ranging from mid-single-digit decrease in Europe, low single-digit increases in Americas and Asia Pacific and high single-digit inflation in Africa, Middle East. Marketing and selling investment as a percentage of net revenue reached 9.9%, up 6 basis points compared to the prior year. Investments concentrated on our priority growth markets, including Brazil, Mexico, U.S., South Africa, Vietnam, U.K. and India, with a meaningful step-up in sponsorships and in trade execution, and particularly in Africa, Middle East and Asia Pacific. Marketing and selling expenditure on our 5 global and 25 local focus brands accounted for over 80% of total spend. On a regional level, the main contribution to operating profit growth was the Africa Middle East region, where operating profit grew 62%, as Dolf said, benefiting from a transformed cost base from productivity savings delivered over the past 2 years and revenue growth outpacing inflation. Operating margin (beia) improved over 400 basis points, now reaching 12.8% for the year 2025. In APAC, operating profit grew by 5.8% with strong contributions from Vietnam, India and Myanmar, held back by Cambodia. In the Americas, operating profit declined 1.9%, incorporating the tariff impact on imports into the USA. Also worth bearing in mind that we cycled a strong prior year comparison where the region grew operating profit by almost 25%. And finally, in Europe, operating profit declined 4.9%. Decreases in Poland, Austria and France outweighed growth in the U.K. and Spain. Lower material and energy costs and strong growth savings include a further European supply network rationalization were more than offset by volume deleverage and general inflation. Consolidation changes had a negative impact of EUR 36 million. Translational currency effect was EUR 290 million negative, again, mainly caused by the strengthening of the euro. Let me turn to the other key financial (beia) metrics on Slide 19. On the second line, you see that our share of profit (beia) from associates and joint ventures grew 5.3% organically, over half driven by strong mid-teens growth of our CRB partners in China. Net interest expenses (beia) decreased by 1% to EUR 522 million, reflecting a lower average net debt position and a lower average effective interest rate of 3.4%. Other net financing expenses improved by almost 18% to EUR 199 million due to lower losses from currency revaluations on outstanding foreign currency payables, especially in Nigeria, following our successful rights issue and subsequent balance sheet restructuring at the end of last year. Net profit increased by 4.9% organically to EUR 2.66 billion, which includes an increase in income tax expenses and noncontrolling interest. The effective tax rate (beia) was 27.2% compared to 27.9% in 2024. The improvement mainly reflects changes in the profit mix. All in all, and factoring in the share count reduction from our share buyback, this resulted in a constant currency EPS (beia) increase of 3.6% to EUR 4.78. We will propose at the AGM of this year a dividend increase of 2.2 per share to EUR 1.90. This equates to an equivalent amount of EUR 1.046 billion to be returned to shareholders through dividends. Finally, our net debt-to-EBITDA ratio was 2.2x at the end of the year below the long-term target of below 2.5x. When we consolidate FIFCO in 2026, we will see a moderate uplift and as per our policy, we'll aim to bring this back to below 2.5x target at pace. Let me now turn to the free operating cash flow. We generated EUR 2.6 billion of free operating cash flow in 2025, a strong cash conversion of 87% following last year's peak 103%. We are pleased with this performance. The year-on-year decrease of EUR 456 million should be seen in conjunction with last year's strong working capital improvements, which contributed approximately EUR 1 billion to our free operating cash flow for 2024. This year, we further improved working capital by over EUR 300 million, with main working capital as a percentage of net revenue, improving by almost 1%. Because the improvement is less than last year, the effect is negative, as shown in the EUR 523 million adverse impact. CapEx amounted to EUR 2.4 billion, representing 8.3% of net revenue (beia) in line with our guidance. Many investments related to our new Passos brewery in Brazil, our Star Pubs in the U.K. and in our digital backhaul. Cash used for interest, dividends and income tax decreased in aggregate by EUR 78 million. Let us now turn to our capital allocation priorities. As a reminder, in our value creation model, we prioritize capital allocation towards organic growth. We do so with a disciplined financial framework, with a prudent approach to debt. We remain committed to our long-term below 2.5x net debt-to-EBITDA ratio. We maintain a regular dividend policy as we've had for decades as an important and consistent source of shareholder returns. Going forward, we bring the dividend payout policy range to 30% to 50% of net profit before exceptional items and amortization of brands, so net profit (beia) compared with the prior range of 30% to 40%. We pursue value-enhancing acquisitions for long-term profitable growth. And with the FIFCO acquisition completed in January, we're excited to welcome the brands, the customers and the people to Heineken. Actively shaping the portfolio also means resolving or exiting operations where we see limited possibilities for sustained value creation. And as previously indicated, we consider returning excess capital via share buyback. This time last year, we announced a EUR 1.5 billion program and completed the first EUR 750 million tranche last month. We will shortly announce the start of our second EUR 750 million tranche. We outlined our EverGreen 2030 strategy last October at the Capital Markets Day in Seville. Let me now take a minute of how we accelerate execution in 2026. As Dolf already mentioned, our priorities are clear, with growth as our #1 priority. We are directing resources to strengthen our growth profile staying close to consumers and customers. At the same time, we are increasingly leveraging our global scale to improve productivity and simplify how we operate. A key focus is on how we build and manage our brands. All our global brands, representing almost 40% of total volume and now adapting the Heineken brand model, combining a pioneering spirit with a structured repeatable way of building brands that support consistent execution and better value delivery. Amstel's progress over the last year demonstrates the impact this can have. We are also increasing the breadth and space of our innovation. In 2026, we will have around 3x as many launches and pilots in our priority segments, which allows us to respond more effectively to changing consumer needs. Freddy AI will become a core enabler of our marketing and brand building processes. And by the end of 2026, most markets will be onboarded, representing close to 80% of our global marketing and selling investment. This will deepen consumer and customer relevance and enable excellent execution at speed and scale with improved ROIs over time. To fuel the growth and the profit, we are stepping up productivity initiatives and make changes to our operating model. We are moving to a simpler, leaner Heineken centered on empowered operating companies. In selected regions, we are transitioning to multi-market operating companies or MMOs. 4 MMOs will already go live in Europe in the next 6 months. We're accelerating the leveraging of our global scale, including further expanding our global supply networks and enlarging the scope of Heineken Business Services. The transition to a single global digital backbone will further standardize data and processes, enabling automation and productivity, and we are moving to a smaller, more strategic head office. Concretely, we will streamline our supply chain through brewery digitization and selected closures, exit markets where we do not see a path to sustainable growth and transition around 3,000 roles to Heineken Business Services to double its scale and broaden the services it provides. Across these initiatives, we expect a net reduction of between 5,000 and 6,000 roles over the next 2 years. Time lines will vary by market, and we will support impacted colleagues with care, respect and appropriate assistance. These actions are designed to deliver the EUR 400 million to EUR 500 million of annual gross savings and allow us to continue investing in our brands and capabilities while supporting healthy operating profit growth. Now then the outlook for 2026. We remain prudent on the macroeconomics and the consequent household spending in several markets. At this stage of the year, we do not expect the consumer environment to materially change. We anticipate operating profit to grow between 2% and 6% on an organic basis. As just highlighted, we accelerate the disciplined execution of EverGreen 2030 at pace, invest behind our growth and step up needed cost interventions. As such, we expect gross savings to be at the upper end of our medium-term guidance range. In terms of variable costs, we expect a low single-digit rise, primarily from currency effects on local inflation in Africa. The effective interest rates and the other net finance expenses are expected to be in line with 2025 and our effective tax rate to be in the range of 27% to 28%. And lastly, the completed acquisition of the FIFCO Beverage and Retail business is expected to be accretive to EPS in 2026. Now let's double-click on the financials of FIFCO. As a reminder, we acquired the business at 11.6x EV EBITDA multiple for a EUR 3.2 billion cash consideration. This means that our net debt-to-EBITDA ratio will increase moderately and expect to be back below 2.5x by 2027. At the time of the deal announcement in September, we gave you the '24 financials. The '25 financials do not differ materially. Net revenue of $1.15 billion and an operating profit of $276 million. These figures are, of course, based on the local accounting policies. The integration team will now start to align reporting with the Heineken accounting policies. And like I said earlier, we closed the transaction on the 30th of January. For the 11-month period, we expect FIFCO to be circa 2% to 3% accretive to EPS in 2026. To summarize, for 2025. We achieved a well-balanced performance in challenging market conditions. In the growth pillar, we delivered revenue growth consisting of quality volume with solid market share gains. In the productivity pillar, our teams realized another year of strong growth savings, the key driver of the operating margin expansion. We are pleased with the progress on capital efficiency with solid cash flow and an improving ROIC. And for 2026, in a similar market context as 2025, we accelerate the execution of EverGreen 2030, putting our growth strategy in place and taking bold productivity measures to unlock investment space and enable profit expansion. We expect operating profit (beia) to grow in the 2% to 6% range. Thanks for listening. And now over to you for questions.
Operator: [Operator Instructions] Our first question comes from Sanjeet Aujla from UBS.
Sanjeet Aujla: Dolf, just a quick word to wish you all the best for your next steps and thanks for all the openness and transparency over the years. I've got 2 questions, please. Firstly, can you just go into a little bit more on the pricing actions in Americas in Q4 and how your market share has responded to that? And is that perhaps behind some of your cautiousness on volumes into '26? And secondly, just digging a bit deeper into Europe, where are you on distribution and shelf space now following the resolution of the retailer disputes, are you anticipating to recoup that fully in 2026?
Rudolf Gijsbert van den Brink: Very good. Thanks for your kind words, Sanjeet. Let me take a first step and then Harold can complement. Just on Europe, already in the second half, distribution and shelf space has been recovering month-over-month. On shelf space, there were some gaps left, but we are very confident that in the spring resets, those will be completely closed. We're also making very good progress on the retail negotiations for this year. And again, no regrets on biting the bullet last year, as very important strategic principles. And in our view, the long-term sustainability of the category were in play in those negotiations, and yes, the outcome of those negotiations, even though taking longer than expected, were acceptable to us. On pricing in the Americas, did you picked up that we took pricing up a bit to the back end of the year, but also in response to input cost. Our market share in the aggregate in Brazil has been very strong on sell-out. And we all know that at the beginning of the year, we had to stock resets impacting our sell-in. But on sell out market share has been very strong throughout. In Mexico, we had very strong market share indeed for the first 9 months, and that came a bit under pressure in the last quarter indeed. But in the aggregate, we are confident, and we are happy with where we are at. Harold, anything to add on that one?
Harold Broek: Yes. Maybe on that last point, just to piggyback on that because Sanjeet, your question is also looking forward. And I think it's fair to say that we are happy with where the pricing and the promotional level of activity is at this moment in the run going forward. As you know, these things really go in waves, and we take pricing on our own demand by taking competitive realities into account, and we felt that we really had to adjust in the second half of the year, especially as what Dolf just said. But we are happy where it is, and we don't expect an overhang from that going into 2026.
Operator: Our next question comes from Chris Pitcher from Rothschild & Co Redburn.
Chris Pitcher: And I echo Sanjeet, Dolf, wishing you well in the future. And leading on from that comment, in Seville, it really felt like you presented the next chapter for Heineken. So it really was a surprise to read that you've decided to leave. I appreciate you're moving into the execution phase right now. And this morning, on interview, you said the Board has completely supported that strategy. I'm just trying to understand the role of the CEO over the next 2 to 5 years because there's obviously a lot of operational execution required with FIFCO, about 10% of the global workforce impacted either through transitional reduction. But also from a branding perspective, brand set that EUR 15 billion target for your international brands. And 3 out of the 5 actually saw volumes decline this year. So what is the challenge? Is it more of an operational execution? Or is it more on the brand side? And could you perhaps just give us a bit more color on Tiger, which seems to be sort of struggling in its positioning versus Heineken?
Rudolf Gijsbert van den Brink: Very good. Thanks, Chris. Yes. A couple of thoughts. First of all, indeed, it is very important. And the words of Peter Wennink, the Chairman of our Supervisory Board in that press release a couple of weeks ago, we are very intentional that there is very explicit alignment between the Supervisory Board, the Executive Board and executive team that EverGreen 2030 is our strategy. It's clear, it's compelling, and it provides a lot of, yes, clarity and direction to the company. So that stands now and in the foreseeable future. It is all about accelerating disciplined execution. The announcements that we included in our release today on productivity, on FTE reductions should be seen very much in that spirit. And we're not slowing down. We are accelerating. We are now really operationalizing and double clicking on the priorities as we presented them in the interview, and more to come in the months and years ahead. On the branding, we indeed believe that about 10, 15 years ago, we made a governance change on brand Heineken, which ultimately unlocked systemic growth on the Heineken brand. It's amazing its year-over-year through all the disruption and turbulence of the last year, every year, the Heineken brands kept on growing. Last year, it was growing. It was up double digits in 27 years. So that governance model with a much more clear global governance and direction, but is now going to be applied on the other global brands. Amstel is a fantastic example that already moved a bit earlier, and you see the results with an acceleration of the performance of the Amstel brand across all regions. The incredible success in Brazil, now the doubling in China, South Africa returning to significant growth, but also in Europe in markets like Romania, where we are launching it. Moretti and Desperados, also a little bit because of mix effect because Europe is such a big proportion of those brands. And the home markets or some of the large markets, for example, Poland, for Desperados do impact a little bit the brand. But we are very confident that when the step-up in that brand confidence, there's a lot of potential for brand Desperados and Moretti. And we keep rolling out Moretti to new markets in Europe, and we keep expanding Desperados on a global level with, for example, in the Africa region, fantastic results in Nigeria, C�te d'Ivoire and other places. Tiger is disproportionately impacted by Vietnam because underlying the brand is doing well. Vietnam,of course, being such a big part of the brand. And there, we are really in a revitalization of the brand. Actually, Tiger Crystal is now in absolute terms, larger than Tiger Original and continuously grow. And actually, we are approaching the moment where the decline on the underlying Tiger Original business is smaller than the increase on Tiger Crystal. And in a way, what happened with the Heineken brand, the Heineken brand was under pressure for about a decade until the launch of Heineken Silver. And Silver has done an amazing job revitalizing brand Heineken across the APAC region. And we think with Tiger Crystal something happening similarly with Tiger. So let me leave it at that.
Operator: Our next question comes from Simon Hales from Citi.
Simon Hales: And I just echo as well everyone else's comments, Dolf to you. Thanks for all your insights and wisdom over the last 6 particularly challenging years for the industry and all the best for the future. I've got a couple as well, please. Obviously, you talked in your presentation and in the press release this morning about being prudent still on the consumer backdrop coming into 2026 and you've issued that 2% to 6% organic guidance for the year. So what factors do you think will drive you to the upper end or the bottom end of the range? Is the first question. What should we be bearing in mind there? And then secondly, around AI adoption in the business in 2026 and specifically AI adoption through Freddy's in marketing. What's that really going to mean do you think, for savings in marketing in the short term? How should we think about the overall marketing spend levels in 2026? I think from memory Dolf back in Seville at the end of last year, you talked about aiming to get A&P or marketing above 10% as a percentage of sales. You're on the cusp of that. Should we see you get there in 2026?
Rudolf Gijsbert van den Brink: Yes. Very good. Thanks, Simon. Thanks for your kind words. Let me take the second part and then over to Harold. On the AI adoption. So first of all, the old AI machine learning has been adopted across the business for many, many years, particularly in supply chain, but also beyond. Of course, AI is different ways, whether it's the generative AI, your customer service, whether it's more agentic AI across operations, we're really moving at pace and in a focused way, focused on clear use cases that we are done scaling across our network. Marketing is indeed, as you were saying, particularly prone to the use of the more, let's say, future AI possibilities. What we announced, what Bram announced in Seville, the launch of Freddy AI, which is kind of our global internal marketing engine, which we're building, and it's built completely with AI in mind. And indeed, with time, it should unlock significant savings. To what extent we will reinvest these savings or whether we will let them go to the bottom line is to be determined along the way. We are not expressing ourselves at this point. We are very proud that even in a challenging year for the industry last year, we're able to expand our marketing investments in absolute terms. Indeed, we went up in basis points to very close to the 10%. And we, for this year, are still planning an absolute increase in our marketing investments. But indeed, yes, a lot of organizational focus and attention is now into the building, designing and scaling of Freddy AI now and for the years to come. Harold, if you can take the one on the prudent guidance.
Harold Broek: Sure, well. The guidance, and indeed, it starts with a recognition to link it to what Dolf just said that it's important for us to continue to invest in the category and continue to invest in our brand portfolio and continue to invest in the digitization of Heineken. And we are basically being realistic that as from quarter 4 exit rates to quarter 1 starting rates, we don't see a material change in the consumer environment, neither in the economic certainty or uncertainty that the world is at the moment, offering us. So in that sense, I think Dolf is right that we're cautious on the macroeconomics and the economic sentiment determined to invest in the long-term health and strategic pillars of the growth of this organization and by stepping up productivity, ensure that we have got the flex to deal with those realities. And we talked, Simon, before about the fact that we are not giving, let's call it, good summer, bad summer ranges. We are really now starting to pivot to different scenarios in different markets aggregating that up and that's where the 2% to 6% range is coming from. So we'll just have to see how things are evolving in 2026, but we got the ammunition to keep on investing in growth.
Operator: Our next question comes from Richard Withagen from Kepler.
Richard Withagen: And also from my side, Dolf, all the best for the future. Now the 2 questions I have is the first one, you mentioned the aim to accelerate the growth of the global brands using the Heineken brand model. So maybe you can elaborate a bit in what way has the brand building of the global brand is different from the Heineken brand. Is it perhaps in terms of innovation, commercial execution, less resources, perhaps some background on that? And then the second question is back to Europe. Yes, we saw volume pressure from the retail disruptions and negotiations. Can you tell us what specific commercial changes are being implemented to avoid a repeat of those disruptions? And do you expect volume growth in Europe in 2026?
Rudolf Gijsbert van den Brink: Thank you so much. Let me take the first one and then Harold if you can take the second one on Europe. So on the difference in the model, I don't want to go into too much detail, but the governance of Brand Heineken is firmly done from the center. And it means that positioning campaigns, tech lines, commercials are all centrally developed and sometimes adopted or customized for differences across regions. With some of the other global brands, take Moretti until very recently, brand ownership and governance was done out of Italy. But the team in Italy doesn't have the kind of global perspective that is now needed going forward. And the same applies to the other global brands. So this is really about strong global brand team centered in Amsterdam with a global perspective and really taking ownership of positioning the brand strategies, the core campaigns, really leveraging also the benefit of scale and skilled insights if you'd like. And we started moving that already a bit early with Amstel and you see the incredible success and acceleration of performance that was the consequence. Harold, over to you.
Harold Broek: Yes. So let me tackle the Europe question. So first, it's important to realize that if you look at the volume growth in Europe, about 2/3 of the volume drop that we saw in Europe was related to market and market specific circumstances and about 1/3 was impact from the negotiations that we were just talking about. We also previously spoke about the household sentiment, the consumer sentiment in Europe that has been relatively subdued, and as a consequence of that, we really saw a trend towards more price-sensitive or value-seeking consumer. We spoke about that previous. Important to note that both in 2025 as well as the outlook for 2026, we believe that we are seeing price mix management that is below the level of CPI inflation that we see. And therefore, bringing affordability more back into the category. The second thing is what Glenn and team is doing is really starting to focus on growth pockets, whether this is our start-ups in the U.K., the Cruzcampo brand that we really see another 50% growth coming from there in the U.K. And we still believe that there are great growth opportunities in France, which is a growing market as consumers prefer increasingly beer over wine. And the same is true in some of the other southern markets with different propositions and innovation that Dolf was also talking about. So it is really about growth pockets, innovation, premiumization in selected markets, but also making sure that affordability comes into play. And in order to finance that and increased investment in brands and categories, we really need to take the cost out as a result of which we've really driven that productivity lens globally but also specifically in Europe. So that's the equation that we follow.
Operator: Our next question comes from Olivier Nicolai.
Olivier Nicolai: I would echo everyone else's comments. Thank you very much, Dolf. I got 2 questions, please. First of all, could you give us a little bit more color on Asia Pacific. In Q4, beer volumes has been slowing down about minus 3.4%. How much shipment phasing there is related to the debt, which is obviously going to benefit Q1? And if you could help us to quantify this, that would be great. And then secondly, a question on the free cash flow, EUR 2.6 billion. That was ahead of expectations. Could you give us a bit more details on how much upside do you see there going forward, particularly when it comes to net working capital and inventory specifically? And is it realistic to go back towards EUR 3 billion its year.
Rudolf Gijsbert van den Brink: I'm for sure going to leave the second question to Harold. Let me take the APAC question. First of all, we -- let me emphasize, we are very happy with our performance across APAC. And I think the footprint is working very, very well. Vietnam, of course, is such a critical market for us. And after the incredible market disruption in '23, the stabilization in '24, '25 was really the year where both the market returned to growth but also where Heineken Vietnam really resumed market share gains. So we significantly outpaced the growth of the market across regions, across channels, both on and off-trade, premium and mainstream. So it's a very broad-based recovery of market as well as our relative performance momentum. There's always the timings of debt and those kind of things that impact a bit quarter-by-quarter performance. But in the aggregate, we're very happy with the performance of Vietnam. India, as we -- this is such a critical strategic pillar of the company now. I think we all agree, it's probably the largest frontier market globally in terms of upside on per capita and in absolute terms. We're very happy by the job done by the team after initially also, yes, a job to kind of integrate and normalize and standardize the business to Heineken standards. We are now really starting to see the fruits of, yes, the commercial strategies coming to life. The back end of last year was really impacted by weather. It was extraordinarily cold and wet in Q3 going into Q4. But from a market share performance, we're very happy with India, both on the core Kingfisher brand, which is by far the leading brands in the country, but also in particular, our premium portfolio with Kingfisher Ultra, Heineken, Amstel Grande, what have you. Cambodia is probably the market that has been the biggest drag on our results in Q4. They were playing against a large number of local players with a lot of overcapacity, not everybody playing to the same rules. So that remains a concern that we are focusing on. But in the aggregate, very happy with the APAC performance. Again, we keep reiterating in the organic results you're probably referring to, you don't have China, which is an absolute success story. This is such an important strategic pillar of the company now. We keep growing double digits. Brand Heineken up double digit again, and now Amstel becoming a sizable second engine, which is only at the beginning of the curve. And as we revealed in the press release or actually in my comments, I believe, it's now a top 3 market in terms of absolute net profit contribution, if you take the income from associates plus royalty income. So this -- yes, we sometimes feel frustrated and it's also one of the reasons where Tristan proposed to update the volume definition to give more visibility to the license volumes because actually, strategically, this is becoming a very important part of the business and relatively asset light. Let me leave it there. Harold, on the cash flow?
Harold Broek: On the cash flow, I like the challenge. But there is a reason why we said we were pleased with our performance because we are -- as we said at the Capital Markets Day, really paying more and more attention to free operating cash flow delivery, but also return on invested capital as we extensively discussed then. It also is important to realize what we're doing with that free operating cash flow. We continue to invest in the organic side of the business, but the addition of FIFCO is a really, really important jewel that gives us coverage, great coverage with great brands in Central America. You will have noted that we're expanding our dividend range from 30% to 50% and are increasing our dividend slightly but slightly nonetheless. And we are announcing the second tranche of our share buyback program. So the free operating cash flow is an important metric for us to also enable sustainable shareholder value creation in the long term. The EUR 3 billion is a good ambition to have, but I'm not going to commit to it in 2026, as you will understand. Our real focus is to sustainably bring the cash conversion rate up to 90%. And you will have seen that all the levers are in play. Our net working capital improved as a percentage of revenue by 1%. Our CapEx, we really talk about growth without CapEx. Don't take this too literally. But we are really getting the leverage out of our existing capital base, and importantly, management focus, both better forecasting, but also action. Cash actions are really stepping up in that space. So that's the message that we're trying to signal, whether it leads to EUR 3 billion, time will tell.
Operator: Our next question comes from Laurence Whyatt from Barclays.
Laurence Whyatt: I once again echo everyone's thoughts, Dolf, best of luck for the future. I really appreciate you've taken the time over the past few years to help us out. A couple of questions for me. Firstly, on Mexico, I appreciate you've taken quite a bit of price in recent years and again in Q4. But what strikes me about the Mexican market is just sort of the lack of the premium segment. It seems to have a very low percentage of premium beers sold in Mexico. And so whilst I appreciate you're working on the price element, is there something more that could be done on mix within Mexico just to sort of get that percentage of premium beers up? And of course, I would have thought that leads to greater profitability there as well. And then secondly, on your Heineken 0 brand, we've seen a number of line extensions over the past year and a couple of more announced just this year. Some of those extensions are on sort of fruit flavors. I'm just wondering how you see this sort of strategy evolved? How close can you get to sort of more of a soft drink type of brand with the Heineken 0 as you add more and more fruit and whether those line extensions you're expecting to bring new consumers into the beer space? Do they go into the alcoholic side of Heineken once they try these line extensions? Sort of how do you see the nonalcoholic part of Heineken impacting the rest of the Heineken brand?
Rudolf Gijsbert van den Brink: Very good. Very good questions. So thanks for your words, Laurence. On Mexico, indeed, historically, the premium segment has been small. I know from my own experience leading the market a bunch of years ago, that it is not for lack of trying on our behalf nor the competition. I think it might also be a reflection that the absolute price level in the market is, for example, compared to Brazil, much higher. So I think it might also have to do a little bit with the affordability of mainstream creating maybe less space to go above. Having said that, we do see premium segments now accelerating. In our portfolio, we see it with Miller High Life, which crossed the 1 million hectoliter mark. I remember doing the first license deal with, of course, many years ago, and it was -- Miller High Life was a rounding error and it's now becoming actually a meaningful brand at scale with very fast growth. The same for Dos Equis our affordable premium brands. So we do believe that there's an opportunity, but it might go a little bit at a different pace than it has been going in other markets like Vietnam or in Brazil. On the 0.0, the line extensions had come in 2 shapes. It's the flavors under the regular 0.0. We piloted them last year, and we are now really scaling them. And of course, a couple of key markets like now the U.S. and the U.K. And we have the ultimate, which is the triple 0, including 0 calories, which we piloted in the Northeast of the U.S. and which is expanding now too. So we're indeed experimenting, learning different ways rather than go to big global launches in one go. We're really kind of feeling our way to see where the consumer is at. But we are very confident that there's very good upside there. On the question on soft drinks, we do believe it's not about us trying to be a soft drink. I think it's the other way around. We believe that by extending our 0.0, we can play into premium adult natural beverages, which is clearly complementing soft drinks, and it's an area where soft drinks cannot go as easy as we can using a beer brand as a brand carrier makes it more adult. Given it's 0.0 beer, it's more natural. Typically, it has much lower sugars, much lower calories. So we believe -- and it commands premium pricing in a very significant way. So we really like where this is going and where the first generation of 0.0 beer started very close to beer occasions at moments that somebody chose for a no alcohol option. We do believe indeed that we can start to unlock new occasions that were not accessible before, as the 0.0 segment is maturing. And as the global leader, we should take the leading role in pioneering that. So we're pretty excited about it.
Laurence Whyatt: Just maybe to follow up on Ultimate. Do you see that playing a different space to where the current 0.0 beers are? Are they taking share from each other? Or do you think that's really opening up a new market.
Rudolf Gijsbert van den Brink: No, we do believe that, that's a new market. Where Heineken 0.0 Original, really plays into less beer drinkers or for certain occasions where people -- unlike a lunch occasion or a business dinner occasion where people rather stay in control and not have the alcohol version. The Ultimate plays into complete new occasions around sports moments, after sports occasions. That's why the global sponsorship with Padel is interesting in this regard. So we're really trying to -- in the end of the day, marketing is about growing consumer penetration, and that's what we're trying to do very intentionally with these line extensions.
Operator: Our next question comes from Sarah Simon from Morgan Stanley.
Sarah Simon: Dolf, you will be missed. I had 2 questions, please. First one was on FIFCO. You've given us some numbers in terms of the performance in dollars, but can you give us a bit more color around how the business performed organically in 2025, and also what you're kind of expecting in terms of what things are looking like for '26? And the second question was around sort of following on from Laurence's question on 0.0. You obviously had basically flat Heineken 0.0 volumes during the year. And I appreciate your comments about distributor inventory resets. But what do you think your 0.0, let's say, sellout is globally? And how does that compare with what you think the market is doing?
Rudolf Gijsbert van den Brink: Yes. Thank Sarah. Let me take the second, and then maybe Harold can comment on the FIFCO question. So our largest Heineken 0.0 market globally is Brazil, and that was, as said, highly disrupted by the stock reset in Brazil. In the key and core markets, like, for example, the U.S., Heineken 0 continues to do very, very well. And in the aggregate, we need to be careful that we don't make new forward leading comments, but 0.0 should drive disproportionate growth across our portfolio. We remain very bullish. We believe consumer penetration is still low and building. We are unlocking new occasions as per the prior discussion. Globally, it's still low single-digit percentage of the total beer category. In Europe, it's nearing 4%, 5% in core markets like the Netherlands. Spain, it's 10%. I don't see no reason why this can't be 10% of global beer in XYZ years. We were the first mover about a decade ago. We have been very intentional about scaling and for sure, we will continue. So we would see '25 performance as an outlier due to some very specific cyclical reasons. But underlying, we are very confident in our low and no strategy portfolio and business momentum. Harold?
Harold Broek: Yes, let me be brief on FIFCO. So first, I think it's important to reemphasize that this is really about long-term strategic fit. We're very happy with the brand portfolio. We're very happy with our market share positions. We're very happy with the grip that we have also through retail outlets. So we really believe that for the long term, this is a fantastic opportunity for us. And let's remind ourselves also that compared to the other markets, the per capita consumption is still relatively low. So we do see growth opportunities in the Central America, but in particular, in the Costa Rica market as well. Then in terms of the trading question that you're asking is pretty much in line with 2024. So no big dramas there. It's also very much in line with what we had assumed for 2025. So no surprises coming there. And yes, there has been likely many of the American markets, some impact from macroeconomic uncertainty, for example, tourism have been down a little bit, and that may have had some impact on market category growth momentum, but nothing that worries us at all going forward.
Operator: Our next question comes from Andrea Pistacchi from Bank of America.
Andrea Pistacchi: And Dolf, also on my part, thank you for the open interactions, insights and all the very best. Two questions, please. First one, I wanted to go back to Brazil a minute, please, which showed a sequential improvement in Q4. You gained share in the market, but could you maybe talk about the health of the market? Are you seeing signs of improvement as we go into this year? How constructive do you feel about Brazil recovery in '26? And also how is the new brewery opening proceeding? And will it drive cost savings already this year? My second question is actually on the multi-market operations. Could you talk a bit about the scope of these multi-market operations? How large are the clusters? Is this mainly a European initiative? Or is it global? And the pace of moving towards these MMOs and what do you see as the main benefit besides cost savings?
Rudolf Gijsbert van den Brink: Thank you, Andrea. And let me take the first one and Harold will take the second one. So on Brazil, again, overall, on sellout, we are very happy and pleased with our ongoing market share momentum, really driven by brands Heineken and the Amstel brand, but now also Eisenbahn really picking up and some of the more super premium brands. The market did slow down remarkably in the second half of the year, the market is going into decline. We are deliberately cautious on the short-term outlook on Brazil. We don't want to look too much into January numbers. Let's wait for the Nielsen numbers also to see what that is looking like. We're really focusing on what we can control, which is brand portfolio, which is our relative pricing decisions, which are our activation plans. And there, again, we feel very confident also for this year. The brewery Passos is very important because of its physical location. We were trucking a lot of beer from the Northeast to the Southeast where the bulk of our volume is. And so there is Immediate logistical savings, there is government incentive savings. So even though our volume is not expanding at a rapid pace in the short term, this will come with an optimized P&L. And that was also one of the reasons why we did pursue that opening. Harold, on to the MMO question. .
Harold Broek: Yes. So first, the reason why we're doing this MMO is really that we see opportunity to be stronger together as Glenn would call it. Most of the FMCG companies that we know of have already started to do that. And we do believe that there is opportunity, but very importantly, a dedicated management team at country level will continue to exist. So this is not really about taking the eyes of consumers and customers. It really is about pulling resources where we believe they are better equipped to do that above a single market and really pull, therefore, that together in a multi-market structure. We will look at this geography by geography. We have already some of these multi-market operations in play and the biggest one that we know is, of course, Heineken beverages in South Africa, where we already see leveraging portfolio, leveraging distribution systems, leveraging support offices is really benefiting the total of the cluster. So this is not new to us, and it's something that we really want to start looking seriously into, but in a very managed deliberate, intentional way. The scope, therefore, in Europe is centered around 4 Czech Slovak, Romania, Bulgaria, Benelux and the Germany, Austria, Switzerland cluster or multi-market organization. And as we already said in the earlier question, the benefits are not only about cost savings, it's really also about taking, let's call it, distraction away so that country organizations can focus on customers and consumers. And that the rest, the parent -- the biggest one in the multi-market organization does a lot of the administrative work and that is what we are trying to do. So it has cost benefits but certainly also focused benefits.
Operator: Our next question comes from Celine Pannuti from JPMorgan.
Celine Pannuti: First of all, I see a lot of changes that are happening in the organization. And clearly, on the EverGreen strategy. So I wanted to congratulate you, Dolf, on this. And obviously, wishing you a lot of luck for the future. My first question probably related to the EverGreen strategy where you said that top line growth is the core focus. In '25, you grew 1.6% organically. And I'm trying to understand how to unpack that for '26? You say -- I mean, obviously, price/mix accelerated into the quarter, although you seem to be saying that price/mix, you want to be a bit more careful about that. At least that was for Europe. So if you could try help me understand how the price/mix should develop in '26 versus the '25 level? And in an environment where, obviously, you are quite cautious as well about our demand, do you think that aiming for flat volume in '26 is achievable for you? So that's my first question. My second question is regarding profit delivery, the 2% to 6%, I think you made a comment about how this was really driven by EMEA. I would like to understand for '26 the balance of that by region? And as well, is there any balance we should think about H1, H2, given, I think, still some FX transaction in the first half of the year?
Rudolf Gijsbert van den Brink: Thank you, Celine. Let me have a first go at it, and then I'm sure Harold has a thing or 2 to say on this. Let me start by the profit guidance of 2% to 6%. So we trimmed it a little bit and it's a combination of a couple of things. One is just to remain a bit prudent on the short-term expectations from the category. In different places, there's different drivers, affordability concerns or we have macroeconomic disruption still playing in parts of the footprint. Mid and long term, we remain confident explicitly so and that the category should sequentially improve to growth again. But in the short term, we rather err on the side of being a bit cautious on the category assumption. Very importantly, another reason is that we really want to maintain flexibility to keep investing in growth in digitizing the business, et cetera. As I said earlier, very pleased that even in a challenging lean year like last year, we were able to increase our absolute marketing selling expenses, increasing marketing selling as a percentage of revenue by some basis points. And so that guidance is also really set with that intention in mind to remain flexibility to keep those investment level in place even if there's unforeseen turbulence. Harold, over to you on the question on pricing and revenue.
Harold Broek: Yes. Of course, going forward, we're not going to comment on pricing, certainly not specifically market by market for obvious reasons, Celine, you know. But maybe it's good that we look back towards 2025, which makes me a bit more comfortable to speak about it. And I think what we're trying to signal is a bit consistency in our behavior. And therefore, you really need to look at the revenue per hectoliter growth region by region, where in Africa, we indeed continue to predict input cost inflation from foreign exchange and local inflation, and we will take pricing for that if and when and how we can, like we did in 2025. In the other side, Vietnam is a good example of that, and Dolf alluded to that in the beginning. We see a very important opportunity to continue to manage the mix, because the growth of Heineken is a premiumization strategy, but in a 0.25 liter can. And that is an important component of the price mix that you see in Vietnam. And that is really what we are trying to do. To balance affordability, price-seeking consumer, but still going after premium because the consumer is prepared to go premium as long as it fits the pocket and the cash outlay like, for example, with 25 cl can. So revenue management is a very important part of our pricing strategy, not just pure pricing. And that's how we're trying to get this right market by market, region by region, and we will do in developed markets, particularly in Europe, be very cautious about the consumer environment not to overprice and really start paying attention to volume as well.
Celine Pannuti: Any commentary on the balance of operating profit delivery?
Harold Broek: Yes, between half 1 and half 2, well, you know that we're always aiming to be consistent and predictable, which the world would say the same. So I think we are trying to be very agile in approach to balance that out and give you line of sight, but it depends on factors and as Dolf already alluded to, we also have our investment strategy and are not here to manage quarter-by-quarter short term. We really are wanting to get this right for the long term as well. So we'll do our best, but cannot promise.
Rudolf Gijsbert van den Brink: I think we're going to the last question.
Operator: Our last question is from Trevor Stirling from Bernstein.
Trevor Stirling: You'll be relieved to know there's only one question. But firstly, let me reiterate what everyone else has said, Dolf, and in particular, I look forward to saying it in person over a cold one tomorrow. The question, Dolf, clearly, 1st of June 2020, a world a lot has happened in those intervening years. When you look back, what do you think is your biggest learnings here in terms of what's worked, what hasn't worked? Yes, just reflections on your time as CEO.
Rudolf Gijsbert van den Brink: Thank you, Trevor. And certainly looking forward to a cold one, with all of you together tomorrow end of day, always a -- yes, a happy moment to look forward to. Yes, I actually just realized that today, it's February 11, and it was on February 11, 2020, that I was informed that I was going to be nominated as the next CEO of Heineken. And I was living in Singapore at that moment, and it all looked rosy. And I was really worried about how to step in the footsteps of Jean-Francois, given the incredible momentum, the role, the category, the business was happening. And little did we know that living in Singapore, it was just days or 1 or 2 weeks later that COVID erupted in Asia and then later in the world. And I took a plane on May 25, was a one-way plane with KLM and air stewards were wearing ski goggles because people still believe that the virus could penetrate your eyeball, it was just bizarre. And then starting in June 1 from home, sitting behind the screen, trying to figure out this team's thing and what have you, this Zoom thing. So it has been a bizarre period. What I'm super proud of Trevor is that already before COVID, I felt that we had to pick up the pace of change in the company because the pace of change in the world was accelerating. And again, that pace of change in the world has capital accelerating time and again over the last 6 years. And EverGreen as we designed it with the executive team in the second half of 2020 was explicitly designed to future-proof the company in a fast-changing world. And we did that across different dimensions. It was future-proofing our footprint by exiting some markets and doubling down on high-growth markets with good fundamentals like India, South Africa and now more recently with FIFCO, it was doubling down on growth segments like premium beer, low and no beer and beyond beer with varying levels of success, some things moved more smoothly than other. We always knew, and I remember speaking with some of you 6 years ago, that you said Heineken is fantastic and the brand and the culture, but you guys don't do cost productivity. And we very explicitly tried to change that. I am proud of the progress we have made, taking EUR 3.5 billion of cost out, and there's still more to do. And that's what EverGreen 2030 is all about. We were behind on digitizing the business, including the boring ERP part of it, and we're really advancing at pace, making considerable investments not just in money but also in organizational resources to make sure that our digital backbone is future-proofed. And we did it on sustainability and people, too. All in all, proud of the progress, incredibly proud of the 87,000 people at Heineken. We lay the foundation, we were not done. More is needed. We are humble in that sense. And I hope you got that spirit and tone when we were together in Seville. And EverGreen 2030 is our sharpened clear expression of our ambition levels building on progress and learnings and at the same time, very clear in the priorities for the company. And as such, it was the toughest decision of my career, if not my life because I love this company dearly. It is the right moment for me personally to take a professional and personal reset, but I do that with full confidence in the future of this beautiful company and that I'm leaving the company in very capable hands with Harold and the rest of the executive team and with a clear strategy. So thanks for that question, Trevor. And again, looking forward to expand if needed over a beer or otherwise when we see each other tomorrow end of day.
Raoul-Tristan Van Strien: Thank you very much. We will see most of you tomorrow afternoon. Take care.
Harold Broek: Thank you.
Rudolf Gijsbert van den Brink: Thanks, everybody. Bye-bye.
Operator: Thank you. This now concludes today's call. Thank you all for joining. You may now disconnect your lines.